Operator: Good day, and welcome to the Applied DNA Sciences Second Fiscal Quarter 2021 Financial Results Call. [Operator Instructions] Please note, this event is being recorded. I'd now like to turn the conference over to Sanjay Hurry. Please go ahead.
Sanjay Hurry: Thank you, Jason. Good afternoon, everyone, and welcome to Applied DNA's conference call to discuss our second fiscal quarter 2021 financial results and business updates. You can access the press release that was issued after market close today as well as the accompanying slide presentation to this call by going to the IR calendar page of our website. Speaking on the call today are Dr. James Hayward, our CEO; and Beth Jantzen, our CFO. Judy Murrah, COO and newly appointed Chief Legal Officer, Clay Shorrock, will also be available to take your questions on the Q&A portion of the call. Before we begin, please note that some of the information you will hear today during our discussion may consist of forward-looking statements. I refer you to Slide 2 of the presentation and to the company's Form 10-Q filed today and Form 10-K filed on December 17, 2020, for important risk factors that could cause the company's actual performance and results to differ materially from those expressed or implied in any forward-looking statements. We undertake no obligation to update or revise any forward-looking statements or other information provided on this call as a result of new information or future results or developments. Now it's my pleasure to introduce our first speaker on today's call, Beth Jantzen. Please go ahead.
Beth Jantzen: Thank you, Sanjay. Good afternoon, everyone, and thank you for joining us. I will begin this afternoon with a review of our consolidated financial results for the second fiscal quarter of 2021. Dr. James Hayward, our President and CEO, will then update you on developments across our COVID-19 diagnostics and surveillance testing businesses, as well as progress being made in our biotherapeutic and supply chain security markets. We will then open the call to questions from analysts and investors. To begin, we are pleased to report significant revenue in the fiscal second quarter, both on a year-over-year and quarter-over-quarter basis, that was driven by demand for our Linea COVID-19 Assay Kits and safeCircle pooled COVID-19 surveillance testing service despite the ongoing impact of the pandemic on our supply chain security business. Starting with the consolidated statement of operations. Total revenues for the second fiscal quarter of 2021 increased to $2.7 million from $552,000 in the prior period. This year-over-year increase of 384% is primarily attributable to an increase in service revenue of $1.4 million, which was associated with safeCircle, that reflects a full quarter of testing for clients secured in the prior quarter. Second fiscal quarter revenues were up 65% as compared to first fiscal quarter revenues of $1.6 million. Product revenues increased to $965,000 for the second quarter of fiscal 2021 compared to $198,000 in the same period in the prior fiscal year. This increase is primarily due to sales of our COVID-19 Diagnostic Assay Kit. Cost of revenue as a percentage of product revenue in the first quarter fell - in the second quarter, fell to 37% compared to 91% for the prior period. The year-over-year improvement is due in part to a shift in product revenue mix as our assay kit sales are at a higher gross margin. The decrease is also the result of certain fixed costs that were not fully absorbed with the level of product revenues in the prior period as compared to the period we are reporting today. Total operating expenses increased 52% or by $1.6 million to $4.6 million in the second quarter as compared to $3.1 million in the prior period. This increase was driven principally by greater SG&A and depreciation and amortization expenses. The increase in D&A relates primarily to equipment purchase to support our safeCircle service and to produce our assay kits. SG&A expenses for the second quarter increased by $1.3 million to $3.6 million from $2.3 million in the prior period. The increase reflects higher stock-based compensation of approximately $422,000 and a higher headcount at our ADCL subsidiary, from which our safeCircle service is based of about $315,000. The balance of the increase in SG&A is attributable to supply purchases to support ADCL as well as to increased legal fees. R&D expenses increased by $171,000 to $874,000 from $703,000 over the prior period. This increase is mainly due to increased purchases relating to our clinical lab build out as well as for the development of our recently announced COVID-variant mutation panels that Jim will speak more about. Net loss for the second quarter narrowed to $1.5 million compared to $3 million in the year ago period. Net loss for the second quarter includes a noncash gain of $840,000 related to the extinguishment of notes payable associated with the full forgiveness of our PPP loan. Net loss per share for the second quarter improved to $0.21 compared to a net loss per share of $0.79 for the same period in fiscal 2020 on a higher number of weighted average shares outstanding. Excluding noncash expenses, consolidated adjusted EBITDA improved to a negative $1.5 million for the second quarter compared to a negative $2.6 million in the prior period. Now turning to our balance sheet. Given our enduring commitment to financial strength and liquidity and a purposeful approach to reducing debt, our balance sheet is at its strongest in several years. This affords us substantial strategic flexibility and the capacity to make investments in R&D and commercial initiatives to further enhance our growth profile. Cash and cash equivalents totaled $13.9 million on March 31. This figure includes net proceeds of approximately $13.8 million from a registered direct offering conducted in January. Our working capital increased by $11.7 million in the second fiscal quarter of 2021 to $15.3 million, up from $3.6 million at the end of the first fiscal quarter of 2021. Accounts receivable stood at $2.2 million at March 31 compared to $1 million at December 31, 2020. And following the extinguishment of our PPP loan, we are now debt-free. Our average monthly cash burn rate, net of financing and warrant exercise proceeds for the three months ended March 31, 2021 was $1.4 million compared to $893,000 for the year ago period, an increase of 58%. The increase is primarily due to capital expenditures for our Clinical Lab subsidiary and purchases of the equipment that underpins the production of our diagnostic assay. Now that our clinical lab is fully operational, we expect our capital expenditures to normalize, which, coupled with the increased revenue levels compared to the prior fiscal year should result in a trend of lower cash burn in the second half of fiscal 2021. Our cash position on April 30 was approximately $13.4 million. We believe we have adequate cash to fund operations for at least the next 12 months from today. Our warrant balance remains unchanged. Approximately 460,000 November 2019 warrants remain outstanding as of May 12, 2021, that carry an exercise price of $5.25. This concludes my prepared remarks. Thank you for joining us today. I will now turn the call over to Jim for his comments.
James Hayward: Thank you, Beth, and good afternoon, everyone. Thank you for joining us on our quarterly call. I hope you and your families are keeping well. The seeds of our financial performance in the second quarter and in the first half of the year, really, were planted one year ago with the EUA for our Linea COVID-19 Assay Kit, which we secured in May. And the launch of safeCircle surveillance platform in our September quarter. While pleased with our execution of the commercialization of our diagnostics to fight SARS-CoV-2, we are equally pleased with the concurrent execution on our long-term goal to establish LinearDNA as a manufacturing platform and a disruptive alternative to today's DNA sourcing standard, which is plasmids. Before I begin, I'm happy to welcome back Clay Shorrock, to the Applied DNA team. Clay previously led our regulatory and IP efforts, both internally, and more recently as a valued external counsel. His return as a member of the management team highlights our pursuit of highly regulated markets with our LinearDNA platform that will be greatly informed by his expertise. COVID-19, while devastating to so many, has also triggered change, innovation and investment across the biopharmaceutical industry that will have benefit to society for years to come. It spurred profound change, allowing a role for many new drug mechanisms to be effective, whether it's messenger RNA or lipid nano particles or even viral vectors like AAV. The pandemic has also had a benefit for diagnostic manufacturers with over 300 authorized COVID-19 tests currently in the marketplace. The Health Sciences components of our business have been made more relevant by the pandemic. We see this interest manifested within our LineaRx products and services, where we are seeing greater interest in LinearDNA as an alternative to the plasmid-based manufacture of nucleic acid-based therapies. The pandemic also accelerated our own push into the diagnostics field with the development of our Assay Kit and the launch of our safeCircle service. The commercial success of our COVID-19 testing business has shown on this slide in the commencement of the first ever clinical trial for a LinearDNA-based therapeutic at LineaRx has brought these Health Sciences endeavors to the forefront of our business. As Beth stated, our supply chain security business has been negatively impacted by the pandemic, but the brands and their supply chains have been changed by the pandemic and they are moving to emerge from it operationally different from when they entered it. As they emerge, we believe our CertainT platform, also powered by our LinearDNA platform, offers a unique multi layered approach to supply chain security to enable the trust that both brands and consumers seek more intensely than 18 months ago. I'll focus my remarks today on our strategic and operational execution during the quarter to advance our goal of establishing our LinearDNA manufacturing platform and to offer certain milestones in the second half of the financial year, which you can use to benchmark our progress. Our goal is straightforward: we want to be a key player in the global alternative to viral vectors and to that plasmid manufacturing markets that were valued together in 2020 as $2.2 billion and are expected to grow on a compounded annual growth rate of almost 20% through 2028. Our strategy is to develop and advance a pipeline of LinearDNA-based therapeutic candidates, the clinical data from which will make LinearDNA relevant to the broader universe of preclinical nucleic acid-based therapies being developed. This simultaneously gives us a path to commercial sales, as is the case with our veterinary COVID-19 candidate trial. Now as Beth also noted, we do have a strong balance sheet - in fact, the best in years - and that provides us the strategic flexibility to pursue the promise of LinearDNA. We have and continue to make investments in our operations, the payoff from which we expect to see both in the near-term and beyond. Our Assay Kit is the foundation of our COVID-19 testing business. It serves to power our safeCircle pool surveillance testing service and is available for diagnostic use in CLIA certified labs, such as our own. During the second quarter, we received the third purchase order from our key customer for our assay kit. And after quarter end, we received the fourth. To-date, we've seen no decrement in testing rights for this customer. To the contrary, a recent order for commencement-related testing has increased the rate of testing. We are in discussion about a fall semester return strategy when more students and faculty are expected to be on campus. And vigilance about the then relevant variants of concern will likely be greater. SafeCircle and by extension, ADCL, our Clinical Lab, has been a standout performer for the company. We do not intend to report operating metrics on a per subsidiary basis, but to offer some important context on this business, that is only two quarters old, ADCL was solidly profitable exiting the fiscal second quarter. Vaccine distribution is an enormous success in the U.S. This accomplishment, combined with adherence to social distancing, is driving expectations for an attenuation of testing rates. But our strategy differentiates us from the crowd of companies offering traditional positive/negative testing. Let me tell you how, using the pillars of lab certification, the extension of our EUA and the growing impact of variants. On Tuesday of this week, we announced ADCL's receipt of CLIA certification by the New York State Department of Health Clinical Laboratory Evaluation Program or CLEP, for COVID-19 testing using EUA authorized methods and devices. Now this is potentially a game changer development for the Clinical Lab, certainly one that has ramifications beyond COVID. ADCL is now able to serve as a diagnostic laboratory to conduct high throughput diagnostic COVID testing using our assay kit, meaning that we can now attack testing markets previously unavailable to us, such as overflow diagnostic business from third-party and hospital clinical labs, and we are in the midst of the hospital environment. It also means that we can report the individual results from the disambiguation of a positive pool in our surveillance testing. Now this requires diagnostic testing that we previously outsourced to third-party labs. Now we can capture a greater percentage of the safeCircle economics. And as we announced just yesterday, we received a reissued EUA from FDA, expanding the intended use of the Linea Assay Kit to include asymptomatic serial screening testing. Now we're really excited about the expanded use of our assay kit, and we'll provide more details on how an asymmetric - asymptomatic serial screening programs - say that three times fast - will be implemented by ADCL. Our goal has always been to make the testing process as easy as possible for a client. Service and turnaround time have been two of our important market differentiators. With asymptomatic serial screening, we are building a testing workflow, wherein there is no need for individual testing subjects to obtain an individual prescription from their health care provider for testing, thereby streamlining their access to testing. As part of this client-centric workflow, any necessary prescriptions for asymptomatic serial screening testing will be provided by a standing order for a blanket prescription obtained from a health care provider that's engaged by our clinical lab. This process will definitely be appreciated by our testing customers, and we believe that the streamlined testing program, which can provide individual testing results to serially tested individuals with or without COVID symptoms is a compelling offering to support the safe opening of the economy and to help curb COVID outbreaks in communal locations such as schools, businesses and skilled nursing facilities. Specifically, we are targeting profitable market niches where the high-touch service we have brought to private clients and businesses and, in particular, to schools is readily applied. Our sales and marketing efforts have pivoted to summer camps now that are reopening and other venues that can serve as a nexus for vaccinated and under vaccinated populations coming together with increasing frequency. Within our deep base of schools, we are already part of conversations to extend testing into the new academic year. Higher education, given the confluence of different aged populations with different vaccination rates and a mix of in state and out-of-state students are particularly well served to continue testing to mitigate outbreaks to avoid a second consecutive year of disruption. Our CLIA certification also gives us the ability to offer a client the choice between serial diagnostic testing or pooled nondiagnostic surveillance testing to meet the unique testing requirements of a diverse range of clients in their reopening strategies. Our approach to the evolving variants is grounded in our ability to detect the salient mutations that characterize the variants in order to expand our addressable market. One only needs to look back 10 or so weeks to see the rise of variants, some of which demonstrate increased infectivity and have displaced the wild-type virus and they're driving infection rates today. The launch of our SGS Panel also serves to expand our addressable market for testing and the opportunity for additional revenues. The SGS Panel reflects our belief that efficient identification is key to limiting the spread of the variants that can potentially render vaccinations in certain therapies ineffective. We believe that our Panel, currently available as research-use-only or RUA - RUO, solves two issues. First, when used in conjunction with our assay kit, the SGS Panel screens for currently seven mutations that comprise certain variants of concern, with additional relevant mutation targets added as they arise. This approach allows the rapid and inexpensive identification of mutations that are concerning in the clinical community, such as those that confer resistance to certain therapies or specific antibodies. In comparison, NGS or next-generation sequencing, can take several days to conduct, and likely longer, still given the limited capacity available nationally. This wait can have a clinical impact on patient's outcome. The second standard of care for COVID-19 is currently based on positivity and not variants. Upon confirmation of infection, the patient is typically treated with a monoclonal antibody, typically right there in the emergency room to reduce viral load and improve outcomes, thereby keeping them out of the hospital. The FDA recently cited the frequency of variants as the primary reason for why the EUA for key - for a key monoclonal antibody was rescinded. Contained in the FDA's revocation letter was the following phrase, and I quote, "Additionally, there are currently no testing technologies available that enable health care providers to test patients for SARS-CoV-2 viral variants prior to the start of treatment with monoclonal antibodies." We believe that our SGS Panel, in effect, is the tool that FDA and all health care providers need in this pandemic to ensure the continuing efficacy of therapies being deployed. It could be used to identify variants in patients while they're still in the emergency room. It can help doctors choose monoclonal antibody cocktail therapies on the basis of variant identification. Over the long term, we can envisage use of the Panel in this manner to lead to more effective clinical standards of care and to actually lower the monoclonal antibody doses. And in turn, lower the risk for the patient and the cost for the health care system. Finally, it can help to match convalescent plasma by variant. The development and validation of our Panel has progressed extremely well. Through a partnership with Northwell Health, we have run over 1,200 clinical positive samples. The results are quite compelling, and they show that our acute PCR-based mutation panel can identify clinically relevant mutations that impact antibody treatments in real time. Furthermore, we have generated our first NGS data using our new in-house capability. The result is that we have a great body of data. The SGS Panel works as we expected, and we saw 100% concordance on all seven mutations. Given these findings, we expect to final a pre-application for an EUA for our SGS Panel, soon to demonstrate to the FDA that the tool our country needs is already available and validation well underway. We believe that the need for testing, be it for interactivity or variant discrimination is still going to persist, especially in the venues I outlined. Our efforts in this regard have not wavered. And to that end, our expansion into genomic surveillance and NGS sequencing offers the opportunity for additional new markets and revenue. Now longer term, as we gain additional diagnostic approvals from New York state via validations and proficiency testing, our CLIA certification broadens the scope of our Clinical Lab business to include the development and commercialization of a growing portfolio of novel diagnostics and complementary services, including the fields of oncology, urology, infectious diseases, among others. The ability to develop laboratory-developed tests or LDTS, can monetize, our invasive circulating tumor cell platform beyond our current revenue-producing collaboration on a pancreatic cancer trial. You may be aware that our iCTC platform is a novel liquid biopsy platform that uses a patented functional assay to capture live, invasive circulating tumor cells and associated lymphocytes that can be identified and expanded for further analysis. The ability to compile evidence of iCTC count correlation with cancer disease and therapeutic efficacy could be a significant benefit to oncologists everywhere, who would send us samples that we would run at Applied DNA's clinical lab. Now let's turn to LineaRx. We are progressing along two current paths. Now with respect to our supply of DNA to other manufacturers of diagnostics, we are growing this business at a time principally through one customer, who has expanded its use of LinearDNA from one to three diagnostic assays incorporated into their equipment-based platform. The first, used in the early detection of liver cancer is already in market. And the demand is leading to recurrent orders for our DNA. The other two are in the R&D phase, and we believe they are both proceeding along their respective development paths toward commercialization, using LinearDNA as the functional DNA component. Now with respect to DNA-based therapeutics, we continue to provide LinearDNA to companies evaluating it against plasmids for their own therapeutic constructs. And at the start of this call, I noted that the pandemic has catalyzed interest and deployment of new drug development technologies, particularly related to nucleic acid therapies. To put this into context, prior to the pandemic, there were very few nucleic acid-based therapies that have been approved by FDA. Over the past 15 months, we witnessed EUAs for three nucleic acid-based vaccines developed and trialed with hundreds of millions of the vaccinations administered in the U.S. alone. As I also noted, we see this interest manifested at our own LineaRx with more customers and more complex projects coming to us driven by LinearDNA. An environment that finds both therapeutic companies and the FDA more receptive to novel technologies is an opportune time to further develop and commercialize our unique platform. So the time is now. Our approach to our LinearDNA therapeutic strategy is to first focus on veterinary solutions, because they have a lower regulatory threshold than human therapies and, theoretically, an easier path to market. They require less regulatory work, are less expensive and, for us, more immediately achievable. Data generated in pursuit of a veterinary vaccine is useful in our eventual pursuit of the human therapy. Key to this strategy is to seek out sponsorship to help us better manage the regulatory pathway for LinearDNA-based therapies. Now we have the therapy in the clinic. Our LinearDNA COVID-19 veterinary vaccine candidate that was first tested in family-owned domestic cats. Immune responses in our cohort have been very robust and, in fact, beyond our expectations, following administration of the booster vaccine. In the next few weeks, we'll provide data on cellular immunity. Given prior preclinical trials that we conducted in mice, it would strongly suggest response durability. The current domestic fee line trial will continue through September when we measure long-term neutralizing antibody titers. Given the USDA, the regulatory body that governs veterinary clinical trials, and their focus on the protection of agricultural animals such as minks against SARS-CoV-2, we intend to initiate a mink challenge trial as soon as practicable. The challenge trial will accrue the same data we have reported to date in cats. However, we now have a basis for our expectations, and we will generate this data in minks. A mink challenge trial will also incorporate those and response data. The second half of the mink trial will include challenging vaccinated versus unvaccinated minks to generate the percent protection data, very similar to the data we've all seen for the human vaccines. If our endpoints are met, we plan to use these data to approach USDA for conditional licensure of our vaccine candidate for minks. Should the USDA express interest in the protection of domestic felines or should cats become a viral vector for human transmission, we would immediately pursue a feline challenge trial. Beyond the veterinary COVID-19 trial, we are continuing the preclinical development of our LinearDNA platform to optimize its application to human therapies. Now on prior investor calls, I've spoken about our CRO customer base that is comprised of the who's who of the pharmaceutic industry. As these customers succeed in their preclinical work, they begin to contemplate the human clinic and eventually, product launches. To sustain deeper commercial relationships with these companies, we continue a phase-based approach to FDA compliant cGMP capacity that's sufficient to support a deeper commercial interest in our LinearDNA as well as our own needs for our veterinary vaccine candidate. We are aligning our cGMP upgrades to meet customer requirements throughout this year. Complementing our infrastructure and regulatory work we needed to pave our path to market, we will continue progress in our foundational technology. We have enhanced our production capacity in our ability to simultaneously manufacture multiple LinearDNA constructs. Now some customers have asked us to develop the capacity to deliver fully formulated therapeutic LinearDNA, including the delivery vector. To that end, we are working with an outside development team to design and produce lipid nanoparticles, similar to those utilized by the two commercialized messenger RNA COVID vaccines. And to enhance these studies and provide preliminary proof of concept, we are expanding our cell biology suites to better enable us to quantify transfection and expression of therapeutic LinearDNA after delivery to the nucleus. Now we previously talked about the impact of the pandemic on our supply chain security business. And within this, textiles have been particularly hard hit. At the same time, supply chain security has not been without certain successes. Year-over-year revenues from the wellness and dietary supplement end market of this business saw a 2.5-fold increase in the fiscal second quarter. This was driven behind Nutrition21 and its transition to our CertainT platform late last year to secure its entire portfolio of dietary supplement ingredients. We are expecting growth in this supplement sector. In terms of textiles, we have seen brands use the pandemic time on their development activities to ensure an even stronger market position coming out of the pandemic. Their efforts have centered around sustainability, brand protection and supply chain traceability. Within cotton, we anticipate a resumption of tagging orders coincident with the macroeconomic trends of household goods upgrades. Himatsingka, our cotton ally in India is benefiting from a home textiles market made strong by stay-at-home orders. Beyond home textiles, we continue to investigate the potential for our entry into the substantially larger apparel market. Cotton is also where we can apply our newly acquired NGS, next-generation sequencing capability. Gossypium hirsutum, also known as upland cotton, is the most widely planted pieces of content in the world. Globally, about 90% of all cotton production is of cultivars that are derived from those species. As such, it's hard to discriminate between upland cotton grown in one part of the world from another. Well, the passage of the Uyghur Forced Labor Prevention Act and with the U.S. Customs and Border Patrol now holding textile goods and ports pending verification of provenance, suppliers, retailers and brands are at the mercy of Xinjiang cotton that comprises fully 20% of the global cotton supply. We've initiated an R&D plan that will leverage our deep expertise in cotton genotyping and next-generation sequencing capability to support brands seeking to meet these new regulatory requirements. We have seen this regulatory action drive a significant uptick in interest in our CertainT platform from those seeking to mitigate heightened supply chain risk following the passage of the Act. If successful, the Act could serve to catalyze the adoption of CertainT more broadly. Over the course of the pandemic, we have been working a leading supplier to brands whose products are pervasive in the textile industry with whom we believe that an imminent new product launch serves as a bellwether event for our textiles practice. In the process, we have eliminated what was previously an obstacle to broader adoption of our CertainT platform, the ability for brands to do their own DNA testing. We anticipate announcing additional details without this launch in the next month or so. But I'd like to applaud our textile team for setting us up for what we feel is a market signaling accomplishment. In this regard, stay tuned. Last, the award last week by the Defense Logistics Agency for counterfeit mitigation continues a contract first awarded to us in 2014. The continuity of contracts from DLA reflects the testing and validation of our platform, previously conducted and proven, a platform that remains efficacious in its counterfeit mitigation role with the federal government to this day. So with that, I would like to ask the operator to open the call to questions. As a reminder, both Judy and Clay are available to offer additional color or clarification on your questions.
Operator: [Operator Instructions] Our first question comes from Jonathan Aschoff from Roth Capital Partners. Please go ahead.
Jonathan Aschoff: Congrats on the progress. My first question is, what is your sense of the commercial appetite and thus, the partnership potential for a mink vaccine?
James Hayward: Without the vaccine, the mink industry can't return to its prior status. So it's the only way for the mink industry to come back. And we think that is the nearest term and greatest opportunity. The USDA is not currently accepting applications for domestic felines. But we hope that they revisit that issue as we've laid really the groundwork in domestic cats. I note also that the similarity of the clinical picture in affected minks, ferrets and humans and the effect - the efficient replication of SARS-CoV-2 in the mink upper respiratory tracks makes them a highly suitable model for evaluating human vaccine candidates. So I think the pivot to mink is perfectly timed and well suited for our future.
Jonathan Aschoff: Regarding relatively near-term revenue opportunities, can you update us on the cannabis tagging and the invasive CTC programs? I'm sorry if I missed this - I missed some of the call.
James Hayward: No, you didn't miss. I didn't really speak to the cannabis issue today. We see a tremendous amount of interest and some very creative business approaches. It's still very much an industry in flux, but it's definitely moving forward. State after state has made cannabis legal. And we think that we'll have opportunities, both at the level of state governments and at the corporations who are developing the products. So we are very excited about cannabis tagging.
Jonathan Aschoff: And then the invasive CTC, that seems to be a little more under your control, I would imagine.
James Hayward: Yes. And the - obtaining the CLIA certification will be a big help. So right now, our iCTC business is based on RUO platform or research-use-only. But in that context, we're working with oncologist and working with time pharmaceutics in a Phase 3 clinical trial on Stage IV pancreatic cancer patients. And we're excited about that study and it's yielding good data. We've learned we can develop organoids from these patients cell cultures, and that may be an opportunity for precision medicine in the future. And with the CLIA certification, we hope to develop a lab developed test that we can get approved by New York State Department of Health, and I think that oncologists would be very interested in the utility of that asset.
Jonathan Aschoff: But did you guys give any update to 2021 revenue with the CLIA certification and being able to test asymptomatic patients?
James Hayward: No. We've not provided any guidance at this stage, Jonathan.
Operator: [Operator Instructions] Our next question comes from Anthony Vendetti from Maxim Group. Please go ahead.
Anthony Vendetti: Jim, you mentioned on the LinearDNA platform, you have two in the R&D stage working with some of these large pharmaceutical companies. And then you have one that's moving forward. I was wondering if you could, without giving their names, but just quantify the opportunity, what this could mean both from a business standpoint and then potentially from a revenue standpoint down the road?
James Hayward: Sure. Well, for the initial commercial effort that's already in the marketplace, that client is ordering grams of DNA effectively each quarter. And we have steadily delivered high-performing product. And that's really led them to develop two more for an equipment platform that's already being deployed all over the world. And so I think it's likely that those two in development will also succeed in the marketplace. And that's just a reflection of a single customer. And while that was our first customer in the sale of DNA to diagnostics, it parallels our development in the sale of DNA for therapeutics, for which we have dozens of customers.
Anthony Vendetti: So on the therapeutic side, you have dozens of potential customers at this point?
James Hayward: We have dozens that we're working with in a CRO modality, couple of which are really on the verge of becoming CMO customers. And they're part of the reason, part of the drive to ensure we have cGMP capability primed and ready to produce the product that they would need for higher animal studies or for the first human clinicals.
Anthony Vendetti: Okay. Great. And then just shifting gears. You said you anticipate a pickup in cotton as things return to normal. Do you have a time frame where you think that can start to pick up? Is that a - is that this quarter? Is that towards the end of this year? Or is that more of a 2022 - fiscal 2022 situation for you?
James Hayward: Yes. The timing can be a little difficult to estimate. The ginning season for cotton really doesn't begin in October - until October. and it begins in earnest really at the end of the calendar year. So we've seen orders before as early as June, but there's no telling really. Our estimation is that the kind of back pressure that's developed in consumers and their purchasing of cotton products is that this customer, this client is growing their cotton business quite well. And so we're hopeful that their needs will be strong.
Operator: [Operator Instructions] Our next question comes from [Jay Rogers from Rogers Investor]. Please go ahead.
Unidentified Analyst: Yes. The last 10 years that I've been a total believer in your company, Mr. Hayward, how do you see the next year in your mind versus the last 10?
James Hayward: Yes. This definitely feels like a transitional year. I mean, it has been already in such a short time. We spawned a brand new business, very relevant to our core capability, that is PCR. We've used PCRs as a diagnostic tool. We've achieved certification in the most difficult state in the union to do so, and we've built a business out of it. And so I think there's opportunity there, and it's perfectly matched with our therapeutic capabilities. So when you combine the ability to do diagnostics and the ability to develop therapeutics, you have, in the same location, the ability to steadily improve your approach to that therapeutic. So I think we're in great shape for a rapid change, and we've captured the attention of the biotech marketplace with our LinearDNA platform. More and more of those big players understand the value proposition we offered them originally two years ago, which is gradually becoming more and more visible.
Operator: [Operator Instructions] Our next question comes from Anthony Vendetti from Maxim Group. Please go ahead.
Anthony Vendetti: Yes. Just a quick follow-up on the supplement side of the business, Jim, Nutrition21. Can you talk a little bit more about that opportunity, what that - the magnitude for what that could mean? Is that - is it early in terms of that market opportunity? Or could that develop into a significant market for you over time?
James Hayward: Sure. Well, Judy Murrah, our COO, has been spearheading this business? And I pass the question to her.
Judy Murrah: Okay. Thank you. Anthony, the Nutrition21 opportunity that we have is really the beginning. It has established a case study and validation of our tagging technology, for in the tagging and in managing their contract compliance with their customers, how much of their ingredient is being put into the products as well as IP protection. So the value proposition for them is very strong. They're very vocal about it, and we'll be able to use that into other markets - or into other customers within that segment. And just like we were talking about home goods, the pandemic has spawned the consumer interest in health and wellness. So the dietary supplement business itself is seeing pretty high-growth rates.
Anthony Vendetti: Okay. Great. And that seems like a good market opportunity because the supplement business isn't FDA regulated. So there's obviously plenty of instances that I've come across, and I'm sure you have as well, where a particular supplement says it has ex amount of this supplement or this chemical compound or mineral, and it really doesn't, right? So is this - the ability to tag it and make sure that it is adhering to compliance, so forth, it seems like a perfect match for what Applied DNA could do?
Judy Murrah: It is. And our molecular tag has certain benefits that other technologies of that sort, whether they're UV-based or other competitive things just can't do. So we have very high-resolution testing and the legal, forensic testing labs for - to help put some teeth behind it. The other thing is it's a nice use case to help to establish tagging in the pharmaceutical area as well. That's only just like one step away of a market. So we can use this as well.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Dr. James Hayward for any closing remarks.
James Hayward: Okay. Thank you very much. So our remarks today serve to highlight our focus on executing on the diverse opportunities that are ahead of us. We've had strong top line growth. And by demonstrating disciplined investment in our operations, we have the foundation for continued execution in the second half of the year. We have the financial means, the enhanced management depth and a singular focus to turn the promise of LinearDNA into reality. Well, thank you all, and stay safe.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.